Operator: Good morning, ladies and gentlemen. My name is Pam and I will be your conference operator today. At this time, I would like to welcome everyone to the Buenaventura Fourth Quarter and Full Year 2006 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. (Operator Instructions). Thank you. It is now my pleasure to turn the floor over to your host, Pete Majeski from iAdvise. Sir, you may begin your conference.
Pete Majeski: Thank you and good morning everyone. Welcome to Compania de Minas Buenaventura's fourth quarter 2006 earnings conference call. Joining us today from Lima are Mr. Roque Benavides, Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer; and other members of Buenaventura's senior management. They will be discussing Buenaventura's results for the press release distributed yesterday evening. If you've not yet received the copy, please call us in New York at 212-406-3694 and we will e-mail it to you immediately. Before we begin, I would like to remind you that any forward-looking statements made today by Buenaventura's management are subject to various conditions and may differ materially. These conditions are outlined in the last page of the company's press release in the disclaimer, and we ask that you refer to it for guidance. It is now my pleasure to turn the call over to Mr. Roque Benavides. Mr. Benavides, you may begin.Roque Benavides: Good morning all. Thank you for attending Buenaventura's conference call. This quarter our operating income was $108 million, 328% higher than the same quarter of 2005. This increase was explained by higher sales revenues, which partially offset the lower contribution from non-consolidated affiliates. Net income for the fourth quarter '06 was $78.8 million or $0.62 per ADS, which represents a decrease of 19% when compared to the fourth quarter '05. EBITDA from Buenaventura's direct operations was $110 million, 190% higher than the figured achieved in the fourth quarter '05. In terms of our operating revenues, our net sales for the quarter were $179 million, a 122% increase when compared to $80.7 million reported in fourth quarter '05, mainly due to higher volumes of silver, lead, zinc and gold sales, as well as an increase in the realized price of zinc, silver and lead. The accumulated sales for 2006 were $548 million, a 93% increase compared to 2005. Accumulated royalty income was $48.5 million, a 5% increase when compared with $46 million in 2005. Buenaventura's equity production during the fourth quarter '06 was 100,000 ounces, 10% higher than the same period of '05; and 4,100,000 ounces of silver, a 20% increase when compared to the 3.4 million in the same period of '05. Equity production for the accumulated twelve-month period was 405,000 ounces of gold and 15.4 million ounces of silver, representing an increase of 13% in gold production and a 15% increase in silver production. At Orcopampa, our gold production for the fourth quarter '06 was 65,600 ounces, an 11% increase when compared to '05, due essentially to higher grade. And the accumulated production for this mine was 254,600 ounces, a 9% increase when compared to 2005. The cash operating cost for the quarter was $155 per ounce. At Uchucchacua, we essentially had similar production as for the quarter and for the year. Essentially, our cash operating cost went up 52% from $3.65 per ounce of silver to $5.65 per ounce of silver, which is explained essentially because of higher contractor expenses for ventilation facilities in the Huantajalla area, which was completed in December 2006; higher reagent consumption for the new cyanidation plant; and higher royalty paid to the government; as well as, lower silver content due to lower silver grade. Essentially, we have finished the building of the new facility processing plant that will give us a lot of flexibility towards the future to treat different kinds of ores of all the mines. At Colquijirca, the zinc production was 17% higher in this quarter. And in terms of silver, it was 95% higher than the same quarter of last year. For 2006, total zinc production increased 15%, and in the case of silver increasing 134%. Colquijirca had a very good quarter, and I would say an excellent year. In terms of our exploration cost in non-operational mining sites, exploration costs for the quarter were $11.9 million, a 41% increase compared to $8.4 million reported in the fourth quarter '05. This essentially shows the interest of the company in exploring, and César Vidal is accompanying that and he will expand on our explorations with useful [actual type]. In terms of our operating income, in the fourth quarter it was $108 million, a 328% increase compared to $25.4 million reported in the fourth quarter '05. This result was mainly due to 92% increase in operating revenues, which largely offset the increase in the total cost of operations and operating expenses. For 2006, operating income was $317 million, a 218% increase when compared $99.7 million reported in 2005. We have caused an explanation on affiliated companies, essentially Yanacocha and Cerro Verde. Yanacocha as expected has reduced production and of course it will further do that in 2007. At Cerro Verde, there was essentially an expense of $40 million in the fourth quarter that impacted the results of the fourth quarter of 2006. But they have finished with the investment in the expansion of that mine, and we expect to have excellent results with the copper prices accompanying that at this mine. In terms of our net income, this quarter Buenaventura's net income was $78 million, representing $0.62 per ADS, a 19% decrease when compared to $96.7 million reported in fourth quarter '05. This was mainly due to lower contributions from non-consolidated affiliates. This figure includes a provision of $1.8 million for the "Voluntary Contribution for Social Responsibility." The accumulated net income for 2006 was $428 million, $3.36 per ADS, an increase of 48% when compared to 2005. In terms of our explorations, Greenfield and Brownfield exploration expenditures during 2006 totaled $36.2 million, of which $10.2 was expense on the acquisition and maintenance of properties. Buenaventura directly controls 286,000 hectares, and through joint ventures or lease/option agreements an additional 119,000 hectares for a total of 406,000 hectares, excluding our own operations, Cerro Verde and Yanacocha. Exploration projects currently being licensed for start-up of new mining production in 2007 are Marcapunta by Soc. Minera El Brocal, and Pozo Rico and Poracota by Buenaventura. Minera La Zanja has successfully concluded its exploration program and will complete its environmental impact study and seek permitting to construct two open pits, and a heap-leach facility in 2008 for the Pampa Verde and San Pedro Sur deposits. During 2007 our exploration focus will be centered on the oxide-gold prospects of Tantahuatay and Breapampa, the silver-rich, base-metal deposits of Hualgayoc, Mallay and El Milagro, and the copper molybdenum porphyry at Trapiche. Detailed programs and budgets await approval, but expenditures in the order of $20 million are anticipated. We have a number of projects that we have been working during the year and certainly during the quarter. At Uchucchacua, as I mentioned, we are in the process of finalizing the details of the start-up of the Uchucchacua processing plant that will give us a lot of activity and a lot of flexibility for the different type of projects we have in these mines. At Orcopampa, we continue deepening the Prometida and Nazareno shafts that will enable us to get into higher grade areas and deeper areas which are those that are giving us, as I mentioned the higher grades. And at Antapite, we continue with the expansion of the Tailing Dam that will give us additional capacity for the future. Yesterday, we had our Board meeting, and we approved the financial statements as of December 31, 2006. We are calling for an Annual Shareholders Meeting for March 28, at 11 o'clock in the morning. And we will be proposing a cash dividend of $0.37 per share or ADS to be paid in US currency. Essentially, this dividend payout follows our dividend policy that we have been following for the last eight or nine years. With this, may I ask, if any of you have any questions, we will be very happy to answer. Thank you very much.
Operator: Thank you. (Operator Instructions). Thank you. Your first question comes from Rafael Urquía from Citigroup. Please go ahead.
Rafael Urquía - Citigroup: Thank you. Good morning everyone. I have a couple of questions. The first one has to do with Uchucchacua. I was wondering if you could please update your guidance on the projected cash cost for this year or perhaps next year for these mining unit in the light of the completions of the works that you have been doing there? And my second question has to do with Colquijirca. We saw some very remarkable increase in production this quarter. So, I was wondering if we should use the fourth quarter levels as a proxy of what could be the recurring numbers for Colquijirca this year?
Roque Benavides: We have to explain at Colquijirca, we have finalized an expansion of 1,000 tons per day capacity, which was expected new facility to process the copper ores. The fact of the matter is that, we have not received the permit yet, and we are using that facility to process additional lead, zinc, silver ores. That of course has meant that we have produced more zinc. In terms of zinc, I think you should use the figures of the last quarter as normal production level. In case of silver, this has been an exceptional year for silver. And we can almost assure that we will continue with this level of production for the first semester of 2007, but we cannot assure that this will continue in the second semester of 2007. In terms of Uchucchacua's cash cost, essentially the adjustments of these new processing plants, which is quite complex, but as I mentioned, will give us a lot of flexibility towards the future. We believe that these adjustments will permit us to reduce the cash costs that we are reporting for the fourth quarter. We do not have yet a way to confirm what is going to be the cash cost towards the future. It will certainly be less than the fourth quarter of 2006. I don't know if Mr. Carlos Galvez wants to expand on that.
Carlos Galvez: Yeah. Well, just to answer, we find that the deeper we go in Uchucchacua's mining, we are gaining zinc. And over the (inaudible), we are getting much more complex mineralization, basically alabandite that makes metallurgical process much more complex than we expect. So, our new Operation's Vice President is planning to continue exploring in the areas of Carmen and Huantajalla through the Southeast of Uchucchacua getting in the higher levels of the mine with more simple mineralization with higher silver content. And this is the way we expect to turnaround [this place].
Roque Benavides: May I just add that, as Carlos mentioned, the new Vice President of Operations, Mr. Francois Muths has replaced Mr. Mario Santillán. We sent a press release on that respect. Mario Santillán has retired being 65. He has served for the company for 37 years. He has for long time in Buenaventura, and of course he had the right to retire at 65. And we welcome Francois who is also an [all timer] in Buenaventura and is well known within the organization.
Operator: Thank you. Your next question is coming from Victor Flores with HSBC. Please go ahead.
Victor Flores - HSBC: Yes. Thank you. Good morning. Just coming back to Uchucchacua and the high cash costs in the fourth quarter, is there a way you could give us a sense of how much of that was due to some of the higher expenses that you note in the press release with respect to development? And how much of it was with respect to the changes that are being made to the plant there?
Carlos Galvez: I don't have, Victor, the exact figure. I could do a work on that, specifically. But about $0.50 per ounce is due to this difficulty we are having in the metallurgical process due to additional consumptional cyanide and peroxide that we are consuming. And in the order of $0.30 is about, I have to give you the final and exact figure is due to the additional expenses in the development that Roque has mentioned.
Victor Flores - HSBC: Okay. I mean that's a good figure. Thank you. Second question goes to the income statement, and in the fourth quarter there was an other expense of almost $12 million. And I was hoping you could clarify what that was related to?
Carlos Galvez: The income statement?
Victor Flores - HSBC: Yes.
Carlos Galvez: Within other income or what?
Roque Benavides: Other net.
Victor Flores - HSBC: Other net. Yes.
Roque Benavides: Well, this is basically (inaudible) of different issues that I will have to break it down. Okay. We have $9.4 million coming from our operations through shutdown of certain mines. You know that according to our new regulation we have to make the provision on the basis of the reserves we have, and we extend 100% of the provision that we have for the area of (inaudible). But we will now have to work on that. And additionally, we [softened the work], basically there is some obsolete supplies that we have in our inventory. Basically, this is the figure, right?
Victor Flores - HSBC: Great. Thank you, Carlos. And then if I could just ask one question on project development. It sounds like you are getting much closer to moving ahead with the construction of La Zanja. Has Newmont indicated that it wishes to continue to participate in this project? And can you give us some other conceptual economics?
Roque Benavides: Well, they are supporting us. Newmont is actively and enthusiastically supporting us. They even suggested that they wanted to go back, and of course we said no. The thing is that we will go ahead with the 53%-47% scheme. We are really pushing hard. We think that if we get all the experiments, we get the environmental impacts study and we get the support of the authorities, because essentially on the social front, it's always a problem. But we believe that with 1 million ounces in resources that we have drilled, we are in a position to go away. Essentially, this project will cost, I would say, in the order of $30 million to $40 million. This is what has cost normal smaller heap-leaching operations and I don't see the reason why it will cost much more to us.
Victor Flores - HSBC: Okay. That's great. Thank you very much.
Roque Benavides: Thank you.
Operator: Thank you. Your next question is coming from Felipe Hirai from Merrill Lynch.
Felipe Hirai - Merrill Lynch: Hi. Good morning, everyone. So, just have one quick question on the CapEx. Given all these new projects that you have, could you give us your CapEx estimate going forward for 2007 and for next year, I mean total CapEx?
Carlos Galvez: Well, Felipe, the CapEx that we consider for the future other than developing La Zanja that Roque mentioned, in the order of $35 million to $40 million. And for the sustaining CapEx in Buenaventura is about $35 million to $40 million for year '07. That's the range (inaudible) that includes not only replacing equipments but completing deepening Prometida and Nazareno, drain area in Orcopampa and including the possibilities we have in the area of Uchucchacua.
Felipe Hirai - Merrill Lynch: Okay. Thanks Carlos. And another question on Antapite. I saw that there was a big cost increase in the operations in the fourth quarter. Should we expect costs to ramp at these levels going forward?
Carlos Galvez: Well, as we have mentioned in the past, we continue to remain -- [put an effort] of exploration in (inaudible) base. In Antapite, being basically narrow vein, it's only one vein that we are exploring and developing. The exploration cost is pretty high. So due to therefore, being there, we are getting these cash costs of further 290. We expect once we complete this extra effort of exploration to get lower cash costs. But for the time being, we can not assure a reduction of this.
Felipe Hirai - Merrill Lynch: Okay. Thank you, Carlos.
Operator: Thank you. Ladies and gentlemen, the floor is still open for questions. (Operator Instructions). Your next question is coming from Oscar Cabrera from Goldman Sachs.
Oscar Cabrera - Goldman Sachs: Good morning, gentlemen. Thanks very much for your explanations so far. Just looking at your proven and probable reserves for the year, both gold and silver saw the kind of about 9%. Just trying to reconcile this in terms of the prices that you use for the calculations on the reserves, can you provide us with your assumptions for gold, silver and the other metals? That's the first question.
Carlos Galvez: Well, basically other than the geological explanation that César will expand a later on, perhaps it is important to mention that. In the case of our gold reserves calculation, for Buenaventura's operation, we have worked with price of gold of $446 per ounce. For silver, we have used $851, which are the main pricing for us. And in terms of Yanacocha's calculation, it is based on the market price average of the last three years which is $486. In the case of Brocal reserves, that is basically a zinc, the prices are $1,443 per ton, which are the prices we use for this calculation. Now, I'll pass to Roque.
Roque Benavides: My only remark here is that, certainly there is a decrease in the silver rates of Uchucchacua if you compare 2005 and 2006. We hope with the exploration program concentrating in the higher portions of the Carmen mine and the Southern extreme of Huantajalla to reverse that and go back to higher grades of silver. But it's also a fact that as we have been deepening the mine. There have been higher grades in metal zinc that partially offset the lower rates of silver. If you look into the reserves, Appendix Number 3, you will notice that there is a considerable increment in silver found in the zinc. We focus on Uchucchacua, 190,000 ounces to 4.6 million ounces of silver in zinc, [which is] low for the mine. And of course with also incrementing the zinc resources, we will hope to recover in the future by adding some self-replication scheme. We need to work more on the exploration higher up in the system to try to increase the silver grade of the mines, and we will be focusing on that this year. But let's not neglect the lead and zinc values that this mine is bringing to us too.
Oscar Cabrera - Goldman Sachs: Thanks. That's fair enough. If I can just follow-up on that, in terms of your plans for Yanacocha, I know that a lot of the reserves and the resource there is restricted now because you want to but because of other reasons. What are the plans in exploration for that part of the company?
Roque Benavides: We certainly interact and I personally interact with the exploration front of Yanacocha a lot as a partner, and on a friendly basis. But it's really a different operation. So, what I am going to tell you is just the personal perception. The exploration of Yanacocha has been in the last couple of years pursuing a lot of [toll free] copper, gold-bearing toll free copper prospects because the oxide gold has all [great source] of surface prospect basically exhausted with exception of (inaudible) that we know is on hold. And we need to focus the exploration also on the future, which is going to be higher grade deposits, [blind] of no certain expression. And these are the tasks that we see ahead of us for the near future. And we need to work a lot on that. In that respect, Newmont has been working, the operator of Yanacocha has been working hard on Chaquicocha, which plus 5 million ounce deposit in 2005, with an average rate of 8 to 9 grants. And they are doing everything necessary like infill drilling and large diameter drilling. In addition, that our [growth over the years] reminds me that the gold's new project is going to be finalized this year. It is going be in production for early next year. And this is to process basically transitional ores. This is copper bearing 0.1% copper along with oxide gold. This is an additional facility that will give us flexibility to process most and hopefully to growing reserves in Yanacocha.
Oscar Cabrera - Goldman Sachs: Okay. Thanks very much gentleman, looking forward to the presentation on Monday.
Carlos Galvez: Thank you.
Operator: Thank you. (Operator Instructions). Your next question is coming from Alonso Aramburu with Santander.
Alonso Aramburu - Santander: Yes. Thank you. Good morning Roque, Carlos, and everybody. A couple of questions, the first one regarding Cerro Verde. Can you give us a sense of how the production increase is going? And also, I understood that there was going to be $50 million investment by the company in Arequipa, and there is $40 million of course this quarter, does that mean that there is going to be 10 million more in next year?
Carlos Galvez: That's exactly the case. $40 million has been taken as I suppose a provision of in the quarter. In terms of the production, how we understand as of today, they are at a level of 65% capacity. And all the adjustments are being made. And we expect that during this semester, hopefully during this quarter, but certainly during this semester, during the first half, we will have full production, meaning 200,000 tons of copper per year in 2005 plus 100,000 tons of oxide, meaning altogether 300,000 tons for the year. So, I would say, that this year, we probably will be producing 260,000 tons of copper, which is a substantial amount. And of course, the expansion is successful and the construction has been finished. And as I said, all the adjustments are being made.
Alonso Aramburu - Santander: That’s great. My second question is regarding your hedge book, now that you have a little more flexibility in terms of selling on market prices for your direct operations, do you have a sense of how you are going to distribute those sales throughout the year?
Carlos Galvez: No. The thing is, what we have is, we have restructured our hedge book. Essentially, we have commitments this year 2007 for 160,000 ounces. Of course, we expect to maintain and we will increase a little bit, the 400,000 ounces that we have produced from our own direct operations. We essentially have 160,000 ounces at $340 to $350 per ounce, and the remaining ounces are going to be sold at market price.
Alonso Aramburu - Santander: Okay. Thanks.
Carlos Galvez: Okay.
Operator: Thank you. Your next question is coming from Victoria Santaella with Santander. Please go ahead.
Victoria Santaella - Santander: Hi, just as a follow-up question here with Alonso. What can we expect in terms of labor negotiations these years? Are there any key states that we have to put a special attention? My second question is a general comment on demand, especially for copper and silver in international markets.
Roque Benavides: Labor annotations, we don't see any major disruptions, at least in our operations. What is happening in Peru is essentially, that is at congress there is a discussion for a new labor law. The committee that was in charge of this labor law came out with a gravely negative proposal, which was essentially deleted. And today the unions and the business associations are negotiating some sort of more reasonable labor law, a labor law that will permit to formalize labor instead of promoting informal labor. You have to bear in mind for those of you that are not Peruvians that probably between 16% and 20% of labor in Peru, only 15% to 20 % of labor in Peru are in formal jobs. The remaining being informal. And what a law has to look after is to formalize those that are informal instead of giving more rights to those that are formal today. But we wanted to promote employment and not necessarily to have a group of people that have special rights that will make things more difficult towards the future. And I think everybody understands this, certainly government and most of the congress understands this. In terms of copper and silver projections being, I suppose you have better elements to answer that question but --
Victoria Santaella - Santander: No, no, in terms of pricing projections, we have some numbers in mind, but I wanted to have more felling of demand, clients, industries, things like that.
Roque Benavides: Well, the thing is, silver continues to surprise. We personally agree. But since there are new appliances for silver and that is of course very good. Copper and only base metal have to do with demand. And of course, what we did yesterday with this or a day before with the China Stock Exchange dropping has to do with demand in China and those developing economies. I really don't have much sense of what can happen there, but we hope that this cycle will continue for longer. This has already been a long cycle. I don't know, if Carlos, do you want to expand on that?
Carlos Galvez: Yeah, well, perhaps you could find that silver production, basically 80% of the total supply comes as a by-product. So, it is very reduced the elasticity feasible to the price in terms of supply. So, only to the extent of the price of copper is on top, or zinc on top, or lead on top, you will get additional silver supply. By just increasing the silver price, you are not going to get additional supply. And as Roque mentioned, there are new ways to reuse for silver that is expanding the demand. So, we believe that silver is perhaps one of the best form of the exchange in terms of the market made out nowadays, because as some of the precious metal is [seasonal] and on the other side, the best way of (inaudible), increasing demand when there is more easy to increase supply.
Victoria Santaella - Santander: Thank you very much.
Operator: Thank you. Your next question is coming [Megan Dotson] from J.P. Morgan.
Megan Dotson - J.P. Morgan: Hi, good morning. Very quickly I wanted to ask if you could give us an idea based on your ore reserve of short-term for Uchucchacua and Orcopampa the mine life where do you still expect it now?
Roque Benavides: Well, you have to understand that being an underground mine it is difficult and not realistic to have a research for longer than three or four years. This is demonstrated in many mines. But of course there are exceptions to that rule. We have been operating Orcopampa since 1963 and always having three, four, even five years' research ahead of us. We are producing currently 260,000 ounces and we have probably 850,000 ounces in reserves. So, essentially we have research for something in excess of three years. But the name of the game is to continue exploring, and this is what we are doing. And this is the reason why we are investing in exploration, especially when we have higher prices. That's the reason why we are deepening the shaft that is the reason why I explained that we are standing all these higher grade index, and which have the assurance that the product will accompany us with a very good production, very competitive cash cost for a number of years to come.
Megan Dotson - J.P. Morgan: Okay. Thank you.
Operator: Thank you. There appears to be no further questions at this time. I would like to turn the floor back over to management for closing remarks.
Roque Benavides: Thank you very much to all of you to accompany us in this conference call. I just want to highlight something that has not been asked in the Breapampa project. Breapampa was an exploration by Newmont. We have got an option to acquire up to 60% with a deposit that has 600,000 ounces in resources, -- sorry 400,000 ounces, I was extremely optimistic, okay. 400,000 ounces that have to be into drill and that are heap-leachables in addition to that number of hectors that have potential for exploration. So, we are quite excited about the project. We are going to work very hard to develop this project. We have to invest $5 million this year. And if we are not able to invest $5 million, we will have to invest the money towards the future or reimburse [the amount], that is a good deal for us. So, that is our new project that we have to work very hard on developing. And then just to invite all of you again to our launching at the New York Stock Exchange on Monday, March 5 at 12:30. Management team will be there, and we hope to expand on any further questions that you may have. This is inline with trying to be as close to the market as we can and trying to be as close to all of you to further invest in our company. With that, I want to thank you again in the name of all the team of Buenaventura, and hope to see you soon. Thank you very much.
Operator: Thank you. And this concludes today's Buenaventura fourth quarter and 2006 earning conference call. You may now disconnect and have a pleasant day.